Operator: Good day, ladies and gentlemen. And welcome to The Toro Company's Third Quarter Earnings Conference Call. My name is Marvin, and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question and answer session towards the end of today's conference. As a reminder, the conference is being recorded for replay purposes. I would like to turn the presentation over to your host for today's conference, Heather Lilly, Managing Director, Corporate Affairs. Please proceed, Ms. Lilly.
Heather Lilly: Good morning, everyone, and thank you for joining us for The Toro Company's Third Quarter 2025 Earnings Conference Call. I am Heather Lilly, Head of Investor Relations. On the line with me today are Rick Olson, Chairman and Chief Executive Officer; Edrick Funk, who was recently named President and Chief Operating Officer; and Angie Drake, Vice President and Chief Financial Officer. Rick, Edrick, and Angie will provide an overview of our third quarter results which were released earlier this morning and discuss our priorities and outlook for the remainder of the year. Following their remarks, we will open the phone lines for a question and answer session. As a reminder, any forward-looking statements that we make this morning are subject to risks and uncertainties, including those described in today's earnings release, investor presentation, and most recent SEC filings and may cause actual results to differ materially from those contemplated by these statements. Also in our remarks, we will refer to certain non-GAAP financial measures which we believe are important in evaluating the company's performance. Reconciliations of all non-GAAP numbers to the most directly comparable GAAP number are included in this morning's press release, which along with the third quarter presentation containing supplemental information is posted in the Investor Information section of our corporate website. With that, I will now turn the call over to Rick.
Rick Olson: Thanks, Heather, and good morning, everyone. We delivered third quarter adjusted earnings that exceeded our expectations. Though persistent headwinds in our residential segment require us to take a prudent approach to our full-year outlook. As a leader in innovative solutions for the outdoor environment, we are well-positioned to benefit from powerful secular growth trends including record golf participation and multiyear infrastructure investment cycles. The benefit of these trends is enhanced by our focus on leveraged technology investments and operational excellence, which we believe will drive significant value for our customers and shareholders. Our third quarter results reflect this strong positioning. We strategically capitalized on continued momentum within our professional segment, especially for our underground construction and golf and ground solutions, where robust demand for innovative products and net price realization drove 6% year-over-year growth with margins expanding 250 basis points year-over-year. Total consolidated net sales in the quarter were $1.13 billion, down 2.2% from the same period a year ago. Half of this decline was due to prior year strategic divestitures of noncore assets. While impacted by headwinds in our residential segment, our commitment to operational excellence and strength in professional enabled us to achieve adjusted earnings per share in the quarter of $1.24, exceeding our expectations. Our full-year guidance reflects near-term consumer caution and residential market pressures, which Angie will detail shortly. I am confident in The Toro Company's trajectory. We are seeing sustainable margin improvement in our Professional segment, demonstrating our ability to drive profitability even in a mixed demand environment. Channel inventory is clearing meaningfully, particularly in residential, setting up a cleaner foundation for the 2026 selling season. Our order books remain healthy in key professional categories, and we continue to launch innovative products that resonate with our customers. Most importantly, the secular trends driving our golf and infrastructure businesses remain intact, with multiyear visibility that supports our growth investments. These factors, combined with our productivity initiatives, position us to emerge stronger as markets normalize. To support this trajectory, we further intensified our operational improvements to control costs and identify additional opportunities for greater efficiency. We moderated the impact of higher material and manufacturing costs through initiatives that drove productivity improvement and realization of net pricing gains. We also continue to benefit from our AMP productivity program, which has now delivered $75 million in annualized cost savings and remain on track to deliver at least $100 million by 2027. Additionally, although supply chain strategies we began implementing in 2018 are limiting our exposure in the current global tariff environment, we continue to monitor and respond to their impact on our business. While we are protecting our profit margins through thoughtful and selective price increases as necessary, we are also working diligently to ensure our products remain competitive by offsetting the effects of tariffs through productivity improvements. Within golf, growing participation levels are sustaining already strong momentum and driving incremental equipment and irrigation investments. And underground construction is benefiting from a compelling runway of infrastructure projects. By maintaining our position at the forefront of innovation, alternative power, smart connected products, and autonomous solutions, we continue to drive significant customer value and differentiate our offerings. Our professional businesses continue to capture share in markets experiencing structural growth. At the recent BMW championship, we showcased our innovative Toro Spatial Adjust irrigation control software paired with Perfrared moisture sensing technology. Industry professionals experienced these groundbreaking precision turf managed solutions firsthand. Following the event, attendees expressed strong enthusiasm for these cutting-edge advancements and their potential to transform golf course maintenance through meaningful water usage reductions. During the third quarter, we began shipping the all-new Ventrac 45RC, offering dual operation modes for steep terrain whether seated on the tractor or operating remotely from up to 500 feet away. This advanced system combines intuitive controls with industrial-grade durability to enhance the remote operation experience in demanding environments. We launched two new specialty construction products, the Trakt eDingo and the Trakt Electric Ultra Buggy, establishing the most comprehensive fully electric material handling and compact utility loader portfolio in the market. We continue to build on the strong performance of our underground construction portfolio with steady improvements in output and favorable customer response to new directional drills and vacuum excavators, including the innovative JT21 drill, the ATJT120, and the W8 hydrovac. We have invested in R&D and capacity of divesting non-core construction assets to sharpen our focus and effectively meet demand. The innovation and superior quality of our Exmark branded equipment, combined with favorable weather in key regions, drove higher than anticipated landscape contractor orders during the third quarter. Customers valued the performance and durability of the Lazer Z lineup and productivity-enhancing features, including our exclusive Adapt technology for quick, tool-free deck adjustments. Before turning the call over to Angie, I would like to acknowledge the participation of Edric Funk on this call and hope you will join me in welcoming him today and in the future. A 29-year veteran of The Toro Company, most recently as Group Vice President of Golf Grounds and Irrigation, Edric has been appointed President and Chief Operating Officer and has assumed responsibility for all global businesses and our integrated supply chain operations. I am excited to be collaborating with Edric in his new capacity and know his leadership will propel our company's profitable growth and competitive position. I want to thank our employees and channel partners for their ingenuity and resourcefulness in advancing the product innovations and technology-driven solutions that enhance our customers' productivity. These advancements are critical drivers of our profitable growth and reinforce our confidence in The Toro Company's future. Now Angie will provide additional details and insights on our third quarter results and outlook for the remainder of the year.
Angie Drake: Thank you, Rick, and good morning, everyone. We delivered solid operational performance in the quarter, with adjusted diluted EPS of $1.24, $0.06 above the same period last year and better than our internal expectations. Consolidated net sales for the quarter were $1.13 billion, down 2.2% from Q3 last year, as we annualize on the prior year divestitures of company-owned dealers and Coke products, which account for about half of the quarter's sales decline. Reported EPS of $0.54 per diluted share included a non-cash impairment charge of $0.62 per diluted share, or $81 million pretax, compared to $1.14 in the third quarter of last year. This impairment of the Spartan trade name is the result of persistently lower homeowner demand and slower market recovery. Our third quarter segment results reflect the variability in demand environments across our markets, driving growth in the pro segment and creating challenges for the residential segment. Professional segment net sales for the third quarter were $931 million, up about 6% year-over-year, driven primarily by higher shipments of underground construction and golf and grounds products and net price realization. We achieved this growth in the quarter, despite the unfavorable current year revenue impact from our 2024 strategic divestitures of company-owned dealers. Professional segment earnings for the third quarter were $199 million, up 20% year-over-year, resulting in an earnings margin of 21.3%, up from 18.8% in the prior year. We delivered this 250 basis point increase in profitability through a combination of productivity improvements, net price realization, net sales leverage, and our purposeful initiatives to reduce costs. These favorable contributors were partially offset by higher material and manufacturing costs. Residential segment net sales for the third quarter were $193 million, down 28% year-over-year. This was due to lower shipments across the segment as homeowners deferred big-ticket purchases. In addition, channel partners remain about inventory in the current environment due to continued volatility and consumer confidence. We are encouraged by the meaningful we have seen in field inventories as distribution partners sell through current stocks. This inventory level positions us well for the 2026 spring selling season. Residential segment earnings for the quarter were $4 million, or 1.9% of sales, compared to $33 million, or 12.2% of sales last year. The decrease was primarily due to lower volume, higher sales promotions and incentives to drive demand, and inventory valuation adjustments, partially offset by productivity improvements. While residential remains challenged by macro factors, our decisive actions to right-size operations and reduce field inventory position us for improved performance as consumer confidence returns. Now turning to our operating results for the total company. Our reported and adjusted gross margins for the quarter were 33.7% and 34.4%, respectively, compared to 34.8% and 35.4%, respectively, in the same period last year. Year-over-year changes on both the reported and adjusted basis were primarily due to lower net sales volume, higher material and manufacturing costs, and inventory valuation adjustments, partially offset by productivity improvements, net price realization, and favorable product mix. SG&A expense as a percentage of net sales for the quarter was 20.8%, a meaningful improvement from 22% a year ago. Given the decline in net sales for the quarter, this result was particularly compelling, driven by deliberate AMP program measures as well as lower marketing costs. Operating earnings margin, including the non-cash impairment charge, was 5.7%, down from 12.8% in the same period last year. On an adjusted basis, operating earnings margin was down 10 basis points to 13.6% due to lower volume. The third quarter reported effective tax rate was 7.4% compared with 17.3% last year. The decrease was primarily due to the impact of non-cash impairment charge and a more favorable geographic mix of earnings this year, partially offset by lower tax benefits recorded as excess tax deductions for stock-based compensation in the current year period. The adjusted effective tax rate for the third quarter was 17.3% compared with 18% a year ago. Free cash flow through the third quarter was $292 million, a year-over-year increase that was largely due to net favorable changes in working capital. This resulted in a free cash flow conversion rate for the quarter of 90%. During the quarter, we invested $90 million in share repurchases, bringing our year-to-date total to $290 million. This reflects our confidence in cash generation and our commitment to returning value to shareholders while maintaining balance sheet flexibility for continued investment in technology innovation and new product development. Year-to-date, our actions have generated favorable momentum in our return on invested capital. Looking ahead to 2025, we are excited about the continued strong demand and stable supply for our underground construction and golf and grounds businesses. At the same time, we anticipate continued pressure both from homeowner demand and channel caution that affected our third quarter results. With this backdrop and based on our current visibility, inclusive of anticipated tariff impacts, I will lay out our full-year guidance. For fiscal 2025, we expect total company net sales to be at the low end of our guidance range of flat to down 3%. We expect Professional segment revenue to be up slightly year-over-year while the residential segment is expected to be down mid-teens. We continue to expect total company adjusted gross margin to improve on a year-over-year basis. We now expect adjusted operating earnings margin to be flat to slightly lower than prior year. Looking at segment profitability, we continue to expect Professional segment earnings margins to expand versus the prior year. However, economic headwinds from homeowners are expected to pressure residential segment earnings margins, resulting in a year-over-year decline. Finally, we expect adjusted diluted EPS to be at the low end of our prior guidance range at about $4.15. These projections also assume normal weather patterns aligned with historical averages for the remainder of the fiscal year. Additional elements of our full-year guidance include interest expense of about $60 million, capital expenditures of about $90 million, and an increase in our free cash flow conversion guidance to about 110%. The strategic actions we discussed, our AMP transformational productivity initiative, and our tariff mitigation strategies are delivering immediate benefits and positioning us for improved operating leverage as markets normalize. Our Professional segment continues to perform well, our innovation pipeline remains robust, and our strong cash generation supports our investments in continued growth as well as returning capital to shareholders. We are resolutely managing factors within our control as we navigate the current environment, and we remain keenly focused on returning our business to sustained profitable growth. With that, I will turn the call over to Edric.
Edric Funk: Thank you, Angie, and good morning, everyone. I am excited to join you this morning and look forward to engaging with all of you in the coming months. Since joining The Toro Company in 1996, I have had the privilege of working with and leading talented teams across all our segments to strengthen our competitive advantage, advance our technology innovation, and accelerate the development and delivery of exceptional solutions for our customers. As I transitioned from my most recent position leading golf grounds and irrigation, I would like to acknowledge the diligent efforts of our team in driving innovation and delivering profitable growth. Our partnership with the Ryder Cup, which will be held this month at the Bethpage Black Course in New York, exemplifies our market leadership and provides a global platform to demonstrate technologies that are already generating significant commercial interest. We also recently launched our new GEOLink Mo autonomous fairway mower. This introduction complements the robotic platforms that we released earlier this year and is another example of leveraging technology across the company to deliver customer value solutions. As I begin my new role, I am excited for the opportunity to partner with our leadership team to strengthen the performance and resilience of our business. We are doing that by strategically investing in value-generating technology and innovation and by optimizing our global supply chain operations. We are already taking decisive steps with our AMP productivity program, tariff mitigation initiatives, and improving capital investment strategies to position the company for accelerated growth when the macro environment recovers. While both streamlining our footprint and aligning our production capacity with demand have resulted in lower current year revenue, we are confident these are the right strategic decisions for our business. We are laser-focused on delivering earnings growth independent of revenue expansion, and we are committed to investing in the core businesses and growth opportunities that ensure enduring value for all our stakeholders. Now Rick has a few closing remarks.
Rick Olson: Thank you, Edric. The Toro Company is positioned to deliver long-term value through our focus on key growth markets and operational improvements. As we navigate a challenging environment, we are being proactive and purposeful in taking steps to accelerate our performance. We are strengthening our product innovation and technology leadership with a continuous pipeline of new offerings that elevate our customers' performance. We are aggressively pursuing opportunities for greater operational efficiency that align our costs and capacity with near-term demand. We are focused on returning value to shareholders by maintaining a disciplined approach to capital allocation, balance sheet flexibility, and strong cash flow. Now, Edric, Angie, and I would be happy to take your questions.
Operator: Followed by one one on your touch-tone telephone. If your question has been answered or you wish to withdraw your question, please press star followed by 11 again. Please stand by for your first question. Your first question comes from the line of Mike Shlisky of D.A. Davidson and Co. Your line is now open.
Mike Shlisky: Yes. Hi. Good morning. Thanks for taking my question. I wanted to start with a professional second question. How it relates to consumer. Has the professional landscape channel, which has some consumers know, that on the large acreage side, that come over to buy from their dealers. Is that part of your business still waiting for that next leg up because of the consumer challenges? So because I am kind of wondering, would you have had organic growth even higher in professional and not been to that small chunk of consumer that does shop in the professional channel.
Rick Olson: Comments about the landscape contractor business. In total, that business actually grew in the third quarter. And that was the combination of a very strong demand from professional contractors themselves, particularly responding to the new products that one of those would which I mentioned, the X Mark new laser, which is kind of the flagship of Mark and really kind of the standard in the industry. So the latest version of that product great response to that. And then that strength of demand from the true contractors made up from still muted demand from homeowners that would typically be in that market. So overall, we grew landscape contractors. That was a combination of strong contractor demand and lower homeowner demand. The homeowners are acting much more like they do in the residential side at this point. So good question.
Mike Shlisky: Great. And then sticking with professional, this was looks like a record third quarter for Professional from a margin perspective, and this going back a bunch of years in my model. You noticed things like having lower marketing costs in some of your comments and your press release? I guess, is that part of the AMP program or are those permanent reductions, or are those just temporary? Just trying to see if professional has entered a new and a higher margin range going forward after this great performance here. I will be curious about mix and professional, whether that was a role on the strong margin as well.
Angie Drake: Yeah. Mike, mix did have an impact. In the quarter, we continue to see strong demand from our underground and golf and ground businesses and saw increased production output as well. So that made an impact there. We did have a very strong quarter up 250 basis points on operating margins for the Professional segment. So continues to be a strong story there. And AMP yes. Your question about AMP. AMP did have an impact. We saw strong impacts year over year in our cost savings related to transformational productivity efforts. A lot of that coming into the professional segment, but overall total company. So we took, let's see. In our quarter, we had $21 million worth of in-year realized savings from AMP. So year to date or project to date, that is actually at $51 million. For F25, we are hitting sitting at 50 or sorry, $47 million in realized savings for the year.
Mike Shlisky: Great. Thanks for that, Angie. And maybe the last one I have got for you if we see a rate cutter even two before the end of the year, like, the calendar year, I guess, would that improve the resi outlook in any kind of decent size way, or do you need to see a cadence of rate cuts going to 2026 to really see the consumer respond to lower interest rates.
Rick Olson: You know, we would all be speculating exactly on how the consumer would respond, but they are looking for a trigger to be more positive. It is fundamentally part of the lower consumer confidence that we see right now, the fact that interest rates are higher. So an interest rate cut or the start of cutting would you would have to imagine would be seen as a positive to consumers, give them some confidence to make those bigger ticket purchases, which they have been hesitant to do in the last, really, the last couple of years.
Mike Shlisky: Okay. Fair enough. I will pass it along. Thank you.
Angie Drake: Thank you, Mike.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Samuel Darkatsh of RJF. Your line is now open.
Samuel Darkatsh: Yeah. Hey, Rick, Angie, Edrick. How are you? Good morning.
Rick Olson: Morning.
Samuel Darkatsh: So a few questions. First off, your residential business, so I guess I will just ask it as it relates to your market share of sell-in and sell-through. I know two of your big retailers, Lowe's and Tractor Supply, both called out the lawn and garden category as being a positive, a favorable category for them. So how are you feeling about your market share? Your floor plan, your floor space at those retailers and your prospects for growth in those two those two with you those two customers next year? I think importantly, we have maintained our market share through an incredibly sort of extreme cycle through the last few years. Now this is a business that historically has grown over a couple of decades by 3%. And within the last five years, we have had some plus twenties and some minus, you know, similar amounts. So this is something that we have not experienced before. Positive thing is that we have maintained our market share through that process. So it really reflects the cycle that the market is going through. Specific to our year-over-year business and related to Lowe's specifically for us, it is kind of a tough comp for us from a shipment standpoint. Our business to a large extent, by the Lowe's selling was up 53% in the last third quarter. That is from a comp standpoint. And in the current environment, you know, it is the hesitant homeowners that we talked about along with all consumers at this point. And they get ticket items that has them more hesitant to make purchases. The good news is that retail has been strong through the latter part of the season. It was a slow start to the season. So the retail some of which you are seeing reported in those retailer reports, has been strong later in the season. That is for us made up for some of the slow start in the early portion of the season. But what you see is hesitancy, particularly by dealers to restock at this point. In the current environment. So that is most of the dynamic, again, holding market share seeing the benefit of longer retail in with those channel partners. And the good news is even though they are not taking more stock we are further adjusting the field inventory, which sets us up for a healthy cuff twenty six.
Samuel Darkatsh: And then my follow-up or segue question to that, Angie, you mentioned, and this is of no surprise, obviously, but the residential margins are expected to be down this year. To what degree are you expecting the margins to be down? What do you peg as I guess, quote, unquote, normal resi margins at this point? And what is the likelihood that 2026 is going to look like that sort of normal margin profile in segment?
Angie Drake: Yes. As we talk about residential margins, we said that those would be for the full year, those would be lower year-over-year from last year's 7.9%. So we do expect those to be a little lower with all of the things that we have talked about impacting, those residential margins this year and this past quarter. From a normal basis, Sam, those are typically somewhere in that eight to 10% margin range. Although we expect to get to that over time, we likely will not in F25. And, we expect to get closer to that sometime in the near future. I think like Rick said, it really what is the actions that we have taken this year have really set us up for a stronger 26, whether those are our one-time reductions like E and O things like that that will set us up for a better up 26.
Samuel Darkatsh: And then my last question, and I apologize if you covered this in your prepared remarks and I missed it. What are your expectations now for year-end backlog and the prospects for pro growth next year. Thanks.
Rick Olson: Yes. We would expect year-end backlog to be substantially reduced from previous years as we work down to the more normal order cycle and lead times. There are a lot of dynamics there. The timeframe in which customers are ordering is also pulling in back more towards normal. So, think we previously had commented that the underground construction, some categories would extend well into 2026. Golf and grounds should be close to normal, although the recent order trends indicated that we will spill into next year in some categories as well. So continued good prospects for growth, but returning more to normal cadence. Versus driven by the back order or open orders.
Samuel Darkatsh: So you are still thinking '26 is a growth year comfortably for pro?
Rick Olson: For pro, yes. Yes. Yes. For sales, things ground and underground. Expect the you know, the professional that we talked about earlier with our landscape areas. The contractor is still very strong as well. And we have got a good book of orders in front of us.
Samuel Darkatsh: Thank you much.
Rick Olson: Thank you, Sam.
Operator: Thank you. One moment for our next question. And our next question comes from the line of David MacGregor of Longbow Research. Your line is now open.
David MacGregor: Yes. Good morning, everyone, and welcome, Andrew.
Rick Olson: Good morning.
David MacGregor: Good morning, Andrew. Yeah. I guess I wanted to start off just on the AMP program. You would expect it to reinvest 50% of the benefit and take the remaining 50% to the bottom line. So with the $75 million that you referenced this morning, what has been taken to the bottom line so far?
Angie Drake: Good morning, David. So, the $75 million is, program to date savings. So those will be annualized cost savings that we expect to get in the future. For our project today actually, I will go back to our F25 in-year realized savings, which means what we should have expected to see potentially in the P and L. And that for this year is $47 million to date through 2025. A lot of that is impacting the P and L in the ways of things that you are seeing with SG and A savings, some of the footprint rationalization that we have done, a capacity. But we are also having to offset, some of the costs that we are seeing in this homeowner volume reduction and tariff headwinds, overall under absorption and some lower volume. But we are using some of that also to fuel our continued innovations in technology. So you are not seeing, you are not seeing those you know, directly related to AMP because we are reinvesting a big a big portion of that this year into the other things that I have mentioned.
Rick Olson: And even though it goes to offset some of the specific challenges this year with lower volume, etcetera, in residential, those are run rate savings, so they will continue in the future. And where we start to get relief from some of those factors where we are spending it today, those benefits will still be there in the future.
David MacGregor: Right. And I guess, you know, you are about 2027 or the 2027, but you appear to be, at least on a run rate base, three-quarters of the way through this program already. I guess the obvious question is, you know, the potential to see this target raised over the remaining two years of the planning horizon?
Angie Drake: Yes. You are exactly right. So we are very excited about the progress that we have made with our AMP initiative and we have had great success to date. We are tracking well ahead of with our $75 million of run rate savings towards that $100 million goal. So when we give our guidance in Q4, I think we will be prepared to talk about AMP two point zero or AMP squared.
David MacGregor: Okay. Sounds good. Look forward to that. Second question is on tariffs. I guess just talk about your success to date with tariff mitigation and what impacted tariffs, I guess, net of mitigation actions. Have on third quarter margins?
Rick Olson: Yeah. If you just a little commentary from where we picked up or picking up from the last earnings call. Last call, we talked about roughly 3% of COGS being the impact that we estimated at that point from tariffs for the year. In F 'twenty five. That equates to about $90 million. And just one note on the $90 million that would also be inclusive of existing tariffs that were there since twenty seventeen-'eighteen time frame. So the actual incremental in 'twenty five due to new tariffs would have been $65 million at that time. At this point, we are estimating that the equivalent incremental tariffs would be about $45 million. And what is interesting is the splits how that breaks down has shifted. So at our second quarter call, it was mostly about China, even though we had small exposure, there was an exceptionally large tariff that was on the horizon that we had built in. Today, the largest portion is steel and aluminum based on the general tariffs there, even though the vast majority of our steel comes from the US, it does we are affected because of the very high rates, even on a small percentage that does not. And then that would be followed by, you know, equal measure of China the baseline reciprocal tariffs, and a small portion of Mexico. Mexico and China, maybe $5 million out of that. Thankfully, our products have been USMCA Compliant From The Start In Mexico. And are currently not subject to significant tariffs there.
David MacGregor: I know the IEPA or reciprocal tariffs are sort of a point of debate right now. How much within that $45 million would be the IEVA?
Angie Drake: I know that we have not broken it out, specifically to address the IEPA. We have not it out. We can get that information? Mhmm. We can.
Rick Olson: Sure.
David MacGregor: Okay. Great. And then how much incremental pricing and mitigation traction should hit P and L in the fourth quarter?
Rick Olson: So in the second quarter, we expected to offset the dollar for dollar tariffs. At this point, we see a potential path by year-end to be able to maintain our margins as well. Through a combination of the productivity measures that Angie talked about plus the careful pricing that we did in this environment as well. So we see a way to be margin neutral by the end of the year.
David MacGregor: Margin neutral by the year-end. Okay. Good. Last question for me. I guess I just want to go to Sam's question on residential and exploring the margin potential there. And have that conversation around the professional segment margins. And you know, I am just thinking back prior to April 2019, Charles Machine Works acquisition, Toro was I guess, generating consistent 20% margins in the professional segments, I recall. You know, Charles Machine Works was obviously dilutive and margins dropped to mid-teens levels, but you have been making pretty steady progress on rebuilding those margins. To now, despite sort of the headwinds in landscape contractor, the professional segment margins are running at kind of a 19% annual trajectory. So guess the question is, how much upside is realistically achievable in pro segment margins given the remaining recovery opportunity that still exist at Charles Machine Works and underground construction and I guess on top of that, recovery in the larger landscape contractor business.
Angie Drake: We do have opportunity to expand those margins. As you notice, our SG and A spend is down. We have made purposeful cost reductions in those areas. We are continuing to see productivity improvements. We are getting the net price realization. The of tariff mitigation efforts, price that we implemented and also additional pricing, and then also some lower marketing costs. But, you know, the piece of the homeowner that carries over into our professional segment is also impacting us somewhat there, creates us creates some manufacturing variances and capacity utilization. So if we think about those types of things and what we can take forward, will be improvements as we continue to go forward.
Rick Olson: And just to acknowledge, the first thing you said, I think, is Charles Machine Works and Dittwist specifically has made tremendous progress in moving up from a profitability standpoint. So just want to acknowledge the work that has been done there by our team.
Angie Drake: And just one thing I would add. As you as you have noticed with our transformational productivity initiative, we are making some portfolio adjustment. We are looking at SKUs, Just this past quarter, you know, we looked at some assets that could be potentially, you know, noncore assets. And, with Tremcor and the Auger boring products and are moving those out as we see necessary.
David MacGregor: So within the within the progress this quarter on professional margin, that 250 basis points of improvement, how much of that was productivity benefit versus price cost and volume leverage and cost cuts?
Angie Drake: Well, we saw price up. We saw productivity improvements being an impact. So both of those are pretty big factors as well as, part of the mix.
David MacGregor: Got it. Thanks very much. Good luck.
Rick Olson: Thank you.
Operator: One moment for our next question. And our next question comes from the line of Thomas Mahoney of Cleveland Research Company. Your line is now open.
Thomas Mahoney: Hello. Good morning. I wanted to look through the look through the moving pieces in the 4Q revenue guidance. I guess, first, is there a way it does look like the pro segment could be implied down year-over-year. Is there a way to size the divestiture impact inside that and just speak through if there is in the remaining business, if there is any any instance where maybe some has been pulled into the third quarter that comes out of the fourth quarter, anything along those lines?
Angie Drake: We did mention in Q3 that half of the decline in Q3 was related to the divestiture year-over-year. So that not only includes the Pope divestiture, which is in the residential segment, but also the company-owned dealers in the underground construction space. So that it was, you know, half of the to the fourth. That is part of the fourth quarter. And it will, yeah, it will be part of the fourth quarter guide as well.
Thomas Mahoney: And American augers remain in the future not a part of the fourth quarter guidance?
Angie Drake: So just to correct that, so American augers is still part of the underground construction. This is just a product line. It is called auger boring. It is just a very small component. It is not the horizontal directional drill. So the auger boring piece is what we sold off as well as as the large Tremcor trenchers. So those are the two pieces that will come out of the underground construction group.
Thomas Mahoney: Got it. Understood. And then from a from a cost basket perspective, is there anything outside of tariffs to be sure to consider as we move through the second half of the year and into '26? Or do you view the incrementals as you frame them up here pretty complete in terms of the cost and the cadence that you are thinking about looking into next year?
Angie Drake: I think the thing that you should continue to consider, you mentioned tariffs the inflation that also comes along with that. And then also the manufacturing variances that have been related to us really aligning our production and demand. So as we look at those plants that are producing residential and homeowner products and really aligning those plus the inventory valuations that we have completed. So I think those are part of the factors that you will have to consider. For cost, in Q4 and early twenty six.
Thomas Mahoney: Okay. Makes sense. Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Bobby Shultz of Baird. Your line is now open.
Bobby Shultz: Hey, good morning, guys. Thanks for taking the questions. Most of mine have been answered already, but maybe just one on the golf side first. Could you give us an update on where lead times are today? And just remind us on how that compares to what normal lead times are and, give your what sort of line of sight do you have to see continued lead time improvement there?
Rick Olson: Yeah. Good question, Bobby. I am happy to give you a little insight there. As I think you know, lead times have become extremely extended as we navigated some of the supply chain disruptions. We have talked before about as we got to the end of this fiscal year, we thought we would be getting pretty close to current. And as Rick mentioned earlier, as orders continue to come in strong, there are still going to be individual models where that lead time is longer than normal. But we are getting to a point where we are much more current. We are certainly more current on our own production. We also have to realize, though, that ultimately the product prepped for delivery to the customers from our channel partners, and there are still cases there where some of them are working that product through. But much more current and a much more healthy healthier position than we were say, this time last year.
Bobby Shultz: Got it. And then on Spartan mower, I think when you guys acquired Intimidator, its annual sales were about $200 million. Any high-level way to frame what the Intimidator Group sales are today relative to that $200 million?
Rick Olson: Yeah. It is now part of the landscape contractor group, but just, you know, rough ballpark, I mean, it is significantly less than that because it is significantly less than it was at the time of acquisition. Because it has a higher penetration of homeowners. So that is probably the biggest factor. It is a substantially down from where it was at the time of acquisition. That relates to the to the impairment that we talked about.
Bobby Shultz: Got it. Yeah. It was particularly hard hit because there are a lot of more residential buyers, like Rick said, but we do believe there is value in providing a suite of zero-turn mowers that are complementary to both Toro and Exmark, and this addresses a geography and a customer base, that we serve we do not serve well today.
Bobby Shultz: Understood. Thanks, guys. I will leave it there.
Rick Olson: Thank you.
Operator: Thank you. One moment for next question. And our next question comes from the line of Ted Jackson of Northland. Your line is now open.
Ted Jackson: Thank you very much. I have got a couple of questions around inventories, both on your balance sheet and the dealer itself. And so just starting with the Toro inventory levels, you know, would you view your current inventory levels as being you are kind of balanced to demand or is there still still work to be done there? And you know, and then, you know, when you think about your inventory levels, you know, what would be, you know, kind of your target when it could be there, you know, days inventory or returns? Now my sense is that you are still a little hanky there, and you just kind of would like to get a sense in terms of you know, where that stands and kind of what the target is and maybe some color in terms of how you expected get there. And then on the dealer side, you know, you are positioning yourself to be set up for a solid season in 2026. And you made a reference to efforts that were going to allow you to bring the dealer inventory further to ensure that you are positioned. So maybe some discussion with regards to your kind of dealer inventories, and where they are what your actions are going to be to, you know, put them to where it sounds like you want them to be when we get to spring. And then maybe just because we are coming up for winter, some discussion with regards to you know, like, I do not know, mixes with regards to, like, snow products and such as well.
Rick Olson: Ted, maybe I could start out talking about the fuel inventory, and then Angie can finish up talking about our own balance sheet inventory. So if you look broadly across our businesses, we have made really good progress in the right directions for each of those. So first of all, underground is an area that we have been very short of field inventory. We have made good progress there, but we still have some distance to go to have the right stock at our dealers and available for immediate delivery if they need that. So we have made good progress. We still have more to go to add to our field inventory at underground. Golf and grounds is about right at this point, but similar to Edric's comments in some categories, we still are short field inventory. Many of the categories were in good shape at this point and the product is flowing through with good velocity through those through those distributors right now, those dealers and distributors. And on the residential side, good progress because of the factors that we talked about. As you said, set up well for next year, we will continue to manage that very prudently with our channel partners to make sure that we that we match the retail as we go forward here. So that is really our plan at this point.
Angie Drake: On our inventory, go ahead if you have a question there.
Ted Jackson: Oh, I just just it just a little more clarity in there. So when you talked about, though, aligning and being in you know, the residential making good progress and being aligned, making sure it is aligned for the spring selling season. I mean, if you know, if that would imply that you feel I mean, you feel like still a little heavy and that you have some things to do? I mean, how is it how is that going to be aligned for the spring selling season, you know, given where we are in the you know, we are at the end of the season now to see I guess, is where I am go where I am getting at with that is, like, you know, what is there an actions that that Toro is doing to bring those into alignment? Is it is it is it, you know, kind of where you want it to be, you know, given your view for '26 and there is really nothing else to do? I mean, I guess that is kind of a little I am just a little lost on that one. That is all. And then I yeah. Sorry to interrupt, Angie.
Rick Olson: I think, you know, in a general sense, we will continue to work with our channel partners like dealers on promotional activities to help move the product through at this at this time of year. We are in much better position than we were last year. We will continue to still help our dealers drive retail at this time of year, given spring is a few months away. And then just keep in mind that we are coming off two years of low snow in our key markets. That cuts across our residential business, the BOSS business, and some portion of Ventrac. So we do have snow inventory in some cases that has been there for a season or even two. So that is part of the sort of dealer capacity inventory that is out there that they may talk about. They are describing their inventory. And at this point, it is sort of a normal preseason snow load that out there in the channel. It is just that it was loaded in last year or the year before.
Ted Jackson: Well, every every point coming in every winter, Rick. I do not even know my fingers are double crossed for lots of snow because I would love to see that stuff go away, and I actually like wind.
Rick Olson: We appreciate that. Yeah. Thank you.
Angie Drake: Our inventory has made progress. You know, as you know, Ted, it has been a focus area for us for the all year. But we made good progress sequentially so we are down since last quarter and down a bit since year-end as well. Working first and foremost to kind of get back to our the levels that we expect and probably driving those turns above above three. We still feel like we are a bit heavy. On our total inventory. For Q3, finished goods actually went up a little bit. Some of that in good good inventory as we continue to get more inventory produced for our underground business. And commercial to be able to fill some of that backlog. But sequentially, it was down. Our WIP inventory continues to come down on a year-over-year basis and then also sequentially. So we are making good progress. We know we still have work to do there. But it continues to be a focus area as well.
Ted Jackson: So if your target would be around three turns, you know, obviously, you know, just an average over, say, the course of a year. That is kind of where you are trying to get yourself to.
Angie Drake: I would say that is my first step. I would like to get there first and then continue to make it better.
Ted Jackson: That is a great answer. So okay. I will get out of line in case there is anyone else. Thank you.
Angie Drake: Thank you.
Operator: This concludes the question and answer session. Ms. Lilly, please proceed to closing remarks.
Heather Lilly: Thank you, everyone, for your interest in The Toro Company. We look forward to talking with you again in December to discuss our fiscal 2025 fourth quarter and full-year results.
Operator: Thank you for your participation in today's conference. This does conclude the call. You may now disconnect. Good day.